Operator: Good day ladies and gentlemen and welcome to the Sabre Healthcare REIT Second Quarter 2016 Earnings Conference Call. This call is being recorded. I would now like to turn the call over to Talya Nevo-Hacohen Chief Investment Officer. Please go ahead.
Talya Nevo-Hacohen: Thank you. Good morning. Before we begin, I want to remind you that we will be making forward-looking statements in our comments and in response to your questions concerning our expectations regarding our acquisition and investment plans, our expectations regarding our financing plans, our expectations regarding our tenant relationships, and our expectations regarding our future results of operations. These forward-looking statements are based on management’s current expectations and are subject to risks and uncertainties that could cause actual results to differ materially, including the risks listed in our form 10-K for the year ended December 31, 2015 that is on filed with the SEC, as well as in our earnings press release included as Exhibit 99.1 to the Form 8-K we furnished to the SEC yesterday. We undertake no obligation to update our forward-looking statements to reflect subsequent events or circumstances and you should not assume later in the quarter that the comments we make today are still valid. In addition, references will be made during this call to non-GAAP financial results. Investors are encouraged to review these non-GAAP financial measures as well as the explanation and reconciliation of these measures to the comparable GAAP results included at the end of our earnings press release and the supplemental information materials included as Exhibits 99.1 and 99.2, respectively, to the Form 8-K we furnished to the SEC yesterday. These materials can also be accessed in the Investor Relations section of our website at www.sabrahealth.com. And with that, let me turn the call over to Rick Matros, Chairman and CEO, of Sabra Health Care REIT.
Richard Matros: Thanks, Talya. Thanks for joining us today everybody. So, we reported another strong quarter last night, we had solid operational results and lower leverage. We’ve updated our guidance, which Harold will provide specifics on. We also announced the planned disposition of a significant number of Genesis facilities. These dispositions will reduce our exposure to our largest tenant and it will leave us with 43 Genesis facilities, which is half the number we started with at the time of the split and leaving us with stronger assets that will see increased rent coverage over time as Genesis will be able to focus on their best performing assets rather than have a disc portion to the management times spent on more challenging assets, which is a trap that operators always get caught it. Our lease expirations will now occur ratably rather than be front loaded. Harold will provide the specifics on that as well. I’d also not that this is just one piece of a number of larger strategic initiatives that I’m sure Genesis will be talking about on their call going forward and I think those initiatives will give the market great comfort relative to what Genesis is doing on a go forward basis and we will strengthen them from a balance sheet perspective and operational perspective and an increased statement perspective. In terms of investments, our investment activity has slowly been picking up. We’ve invested just under 95 million today and have agreed to terms on another 22 million in the senior housing campus and I want to point out also that our investment activity and the timing of the fact that it’s picking us has nothing to do with anything else that we have been addressing in the company whether it was the Forest Park staff or the Genesis deal. It is really just simply a matter of the acquisition market and that after having the seller market last year things are just starting to pick-up a little bit more. Our pipeline currently stays at 300 million, almost exclusively it is just a living and memory care. On complete sales of the business we continue to see competition from PEs paying exorbitant prices on future earnings. It’s really to say our lease back we have the opportunity to compete. Wherever we have the situation where an operator intends to stay in they prefer to have a long term relationship with the capital partner like Sabra rather than to do the deal with PE and do with a very different kind of paradigm, as well as an early exit and to having it start over again. So, we’re hopeful given the current level of activity in the pipeline networks to even more lease back opportunities from much of the first part of the year, the opportunities in Sabra complete sales or businesses and again we are not seeing anywhere near as much activity on the skilled nursing side in terms of assets for sale as we are in the senior housing side. We have been prudently selling off a small number of skilled nursing facilities as we pruned our portfolio to be focused on. Those operators that we feel really understand how the paradigm is shifting, what’s going to happen going forward and with some clear for us and we think, we feel confident actually that we will see this with the proposed Genesis sales that there is a huge disconnect between the public market and the private market in terms of the value of skilled nursing and every time we’ve put an asset on the market the competitions for that asset is pretty intense and so you expect to see the same thing with the Genesis assets as well. Now, we will turn it over to operational results. Our skilled nursing transitional care portfolio had EBITDA coverage held steady 1.43. It was up year-over-year from 1.18. Our senior housing EBITDA coverage was 1.17, down from 1.26 year-over-year. At noted on our first quarter call, I will mention it again, because I see it missing from a number of the notes, the reason that we are down is because of the number of ILs that have come into the portfolio. And as you know, we all underwrite independent living coverage at a lower level at assisted living or memory care. In our case, it was the acquisition of the Canadian independent living facilities getting fully backed into the numbers that bring in data. If you look at our same store, senior housing staff, which don’t include the independent living beds. We are actually up year-over-year. So there has been no deterioration in actually, in our assisted living memory care portfolio. From a coverage perspective actually quite the opposite. Our skills on transitional care occupancy was down 90 basis points year-over-year, our skilled mix was up pretty dramatically 280 points year-over-year. As noted on our last call also that’s the key stats that we look for. Skilled mix increased, indicates to us and it is the best measure from a natural perspective that our operators are moving their business where it needs to go by increasing their ability to take higher acuity patients and a broader spectrum of clinical patients. There is a natural dynamics that occurs. Whenever skilled mix goes up your front door is going to be evolving a lot more quickly and so you’re going to have a natural decline in occupancy when your skilled mix goes up. So remember that when you skilled mix goes up and when you are admitting primarily all these skilled mix patients that means that you are replacing Medicare patients, which are reimbursed in our much lower level with much higher reimbursed rates whether it is managed care or Medicare fee-for-service and because 90% of the cost and skilled nursing facility are essentially fixed, the pull through to the margin on those higher reimbursed patience it is pretty dramatic. So that is why you seen rent coverage being pretty strong despite the fact that occupancy is down, it is all about the skilled mix. And then finally on senior housing occupancy, we resolved 90.1% there. We are not experiencing any competition from new entrants in the markets that we currently exist in. And with that I’ll turn the call over to Harold and when Harold’s done we will go to Q&A.
Harold Andrews: Thanks, Rick. And thanks everybody for joining the call today. Today, I will provide an overview of the results of operations for the second quarter of 2016 and our financial position as of the end of the quarter, as well as provide some additional color on the final resolution of the Forest Park investments and the agreement we recently entered into with Genesis as well as our updated guidance for 2016. I’ll start with a recent Genesis agreement. First, I will remind everyone that we already have in place two other agreements with Genesis to divest 8 facilities of which two have been completed. My comments will incorporate the impact from all three of the agreements that are now in place, which includes the new agreement to jointly divest a total of 37 skilled nursing facilities across 10 states. Once all of the divestitures are completed, the number of facilities leased to Genesis will decrease from 78 today to 43. First, I would like to reiterate the key benefits from these agreements. Number one, its acceleration of our objective to diversify our portfolio and reduce our concentration in revenues from Genesis through this joint divestiture of assets. Number two, improve our portfolio quality to the elimination of less desirable assets, rent real occasions to better align rents with facility performance and improvement in total portfolio coverage over time to additional rent adjustments which will occur at the end of 2020 and 2021. Number three, improved flexibility for future portfolio management through enhancements to the corporate guarantees of all leases with Genesis. Such that those guarantees will survive and attach to any future asset divestitures Sabra may pursue that are subject to leases with Genesis. And finally, number four, significantly improved the laddering of lease maturities to extensions of certain lease maturities and other rent reallocations. The latest agreement paves the way for the joint divestiture of 29 assets leased to Genesis. These assets will be marketed effectively immediately and will be sold in any number of possible groupings, including one on an individual asset basis. We expect these sales to occur over some period of time, which cannot be estimated with any specificity today. However, we do expect the sales to largely be completed by the end of Q2 2017. Each sub sale will trigger a rent reduction from Genesis, not based on current rent allocated to that asset today, but rather based on a 7.5% of the net proceeds received by Sabra from the sale. This effectively eliminates any long-term dilution from the asset sales, as we would expect to redeploy that capital at an initial lease yield that would approximate that 7.5% rent reduction. While this will slow our growth in FFO and AFFO on an absolute dollar basis during this capital redeployment period, we believe the ultimate impact to a long-term FFO and AFFO growth on a per share basis will be immaterial, compared to the growth we would have realized during this time had we fronted that growth with a mix of permanent debt and equity capital in line with maintaining our goal of having leverage of no more than 5.5 times. This negligible impact on per share FFO and AFFO growth being a function of a high cost of equity capital today. So said another way, our FFO and AFFO growth per share would be muted if our acquisition plans require the issuance of equity capital at our current stock price to maintain our leverage goals. Such that, recycling capital through these asset sales and using that capital as a source to fund our acquisition plans results in similar FFO and AFFO per share growth once all that recycle capital is deployed. All of these factors allow us to continue to invest in high-quality assets, maintain leverage, and reduce our concentrations in Genesis and skilled nursing assets without sacrificing the FFO and AFFO per share growth we had previously expected. We expect this will have the added benefit of improving our credit rating and ultimately our equity value and thereby reduce our overall capital in the future. We expect these agreements with Genesis will generate a total of up to $200 million to $250 million of net proceeds from sales, and reduce our cash rents from Genesis from $77.1 million today to $58 million to $62 million within that range of $58 million to $62 million. On a pro forma basis today, that would reduce our Genesis concentration to approximately 27% before redeploying that capital and approximately 25% after redeploying that capital, assuming this reinvested at the initial cash yield of approximately 7.5%. The agreement also provides for a dramatic improvement of the laddering of the maturities of leases with Genesis. Under the original terms of the leases, approximately 77% of the Genesis’s portfolio revenues or leases that matured by the end of 2021. With the modifications that drops to 30% and includes certain rent adjustments that will improve the portfolio coverage and thereby enhance the likelihood of those lease extensions beyond the maturity date. Finally, the corporate guarantees are being modified, such that if we sell any of the assets, or put our interest in those assets into a different ownership structure, the guarantees will remain intact and follow the assets to the benefit of the new owner or partner. This along with the reallocation of rents to better match facility performance are incredibly important enhancements to the relationship, as it gives us maximum flexibility going forward to manage the portfolio. Next, I’ll switch gears and close the book on the Forest Park investment by first reiterating that we’ve said all along, which that Frisco was the only loss we expected to take on this investment. Despite predictions of massive losses on our loan investments we’ve completely repaid on these loans and realized the combined 10.8% annual return over the life of these two investments. We promised that we would swiftly to exit these investments and expected to be up by the middle of 2016. We have accomplished this goal. The Frisco lease guarantees are now the only remaining piece of the story yet to be told, and we have offered a generous discount to incentivize quick collections and avoid having to pursue litigation. However, we will pursue litigation if the discounted payment offers are not accepted. If we are able to collect the aggregate discounted guarantees, which we have offered of approximately $14 million, the final recruitment for the three Forest Park investments would result in an IRR of approximately 5%. An outcome that far exceeds most expectations and one that we believe demonstrates our capabilities to mitigate risk in our investments and ultimately deal with difficult situations that don’t turn out as we had originally hoped. And now for the financial results for the quarter. For the three months ended June 30, 2016, we recorded revenues of $74.2 million compared to $56.6 million from the same period in 2015, an increase of 31.2%. FFO for the quarter was $51.4 million, and on a normalized basis was 39.8 million, or $0.61 per diluted common share, normalized to exclude $8.9 million of out of period default interest income on the Forest Park Dallas loan and $2.1 million lease terminations fee associated with the agreement to sell five assets with Genesis and $0.7 million of other one-time or out of period items. This normalized FFO compares to $27 million, or $0.54 per share for the second quarter of 2015, a 13% increase on a per share basis. AFFO, which excludes from FFO acquisition pursue costs and certain non-cash revenues expenses was $49.3 million, and on a normalized basis was $38.3 million, or $0.58 per diluted common share, compared to $30.8 million, or $0.52 for the second quarter of 2015. This is an 11.5% increase on a per share basis. 2016 AFFO normalized consistent with normalized FFO. For the second quarter of 2016, we reported net income attributable to common stockholders of $34.9 million, or $0.53 per diluted common share, compared to $14.3 million, or $0.24 per diluted common share in 2015. G&A cost for the quarter totaled $4.6 million and includes stock-based compensation expense of $1.8 million, an acquisition pursue cost of $0.1 million. Our ongoing corporate level cash G&A costs were $2.7 million compared to $2.5 million in the second quarter of 2015, representing 3.7% of revenues for the quarter, compared to 4.4% of revenues for the same period in 2015. Interest expense for the quarter totaled $16.4 million compared to $14.1 million for the same period in 2015 and included the amortization of deferred financing costs of $1.3 million in each period. Based on debt outstanding as of June 30, 2016, our weighted average interest rate, excluding borrowings under our unsecured revolving credit facility was 4.47% compared to 4.68% at the end of 2015, a 21 bps improvement. We generated $69.8 million of cash flow from operating activities during the quarter, compared to $26.6 million in 2015, a significant portion of the increase driven by the collection of the Forest Park interest income. The repayment of those loans provided funds to fully pay down our revolver and resulted in cash of $103.9 million as of June 30, 2016. We pay quarterly preferred and common dividends totaling $30 million during the second quarter of 2016, and on August 1 declared a $0.42 cash dividend to be paid to common stock holders on August 31, 2016. This common dividend represents 56% of the FFO and 72% of normalized AFFO for the quarter. As of June 30, 2016, we had total liquidity of $603.8 million consisting of currently available funds under our revolving credit facility of $500 million and available cash and cash equivalents of $103.8 million. After funding the three investments subsequent to quarter end totaling $87.6 million, our pro forma liquidity stands at $516.2 million. We continue to be in compliance with all of our debt covenants under our senior notes indentures, our unsecured revolving line of credit, and our term notes as of June 30, 2016. We’ve seen our leverage improved significantly as we have previously indicated we would, since we finalized the exit from the Forest Park investments. Specifically, leverage declined from 5.85 times at the end of 2015 to 5.09 times at June 30, 2016. This is well within the range of leverage we would like to maintain over the long-term and provide us additional room to continue invest without need to raise equity in the short-term. Our credit status as of June 30, 2016 were consolidated fixed charge coverage ratio of 3.19 times, minimum interest coverage ratio of 4.14 times, total debt to asset value 44%, and secured debt to asset value 6% and ratio of unencumbered asset value to unsecured debt 239%. Finally, a couple of comments related to our updated guidance for 2016. We have revised our outlook for full-year 2016 as follows. Net income per share reduced from a $1 to $0.90, FFO and normalized FFO per share increased from $2.13 up to $2.47 and $2.14 up to $2.33, respectively. AFFO and normalized AFFO of $0.12 per share increased from $2.02 up to $2.42 and $2.02 up to $2.24, respectively. This guidance includes all investments completed to-date, totaling $94.9 million plus an additional acquisition of $22 million is expected to close in the third quarter. Our original outlook excluded any impact from the Forest Park investments for the year. Included in the updated guidance is the impact of the resolution, excluding any proceeds we may recover from the fiscal guarantees. The impact on FFO and AFFO from Forest Park in 2016 was $0.28 and $0.26 per share, respectively. The impact on normalized FFO and AFFO was 19% – excuse me, $0.19 per share for each. And then finally, the guidance does not include any future impact from the recent Genesis agreement. And with that, I guess, we’ll open it up to questions.
Richard Matros: Thanks, Andrews.
Operator: [Operator Instructions] We’ll have our first question from Juan Sanabria, Bank of America.
Juan Sanabria: Hi, good morning out there on the West Coast.
Richard Matros: Good morning.
Juan Sanabria: Just hoping you could talk to a couple things on Genesis. Firstly, what was your guys rationale or I’m not sure what the arrangement was there for not participating in the term loan?
Harold Andrews: Well, if you look at the total dollars, it wasn’t a huge amount of money and they already got covered with HCA and no magnitude, so there was no reason and our need for us to to participate. And for us we’re completely focused on reducing our exposure at this point, bigger issue for us obviously and it is the other guys.
Juan Sanabria: Understood. And then just a question on the extension of the lease duration. Was that on the – on your whole pool of the assets, or just the assets up for sale?
Harold Andrews: On the lease extension, the way it works was obvious it’s a – it’s master leases and several master leases, but they’re individual leases, and so there were staggered maturities. And when originally at the time of split was set, those maturities were pretty front-end loaded. So what we did is, we just looked at the overall portfolio and said, we want these maturities too. Once we exit these assets that are being sold, we want it to be more routable over a period of time rather than front-end loaded. And so that, along with creating an opportunity to reduce some of the rents at that time and keep the maturities more stable over time rather than front-end loaded, those are the two things that drove the decision to do that.
Juan Sanabria: And what was your rent adjustment, you referenced, I didn’t see that stipulated in the release?
Harold Andrews: Yes, so what’s going to happen is, if you look at the rents that we have with Genesis by leases, we’ve agreed to give them in the assets they were selling anyways additional rent reductions, again across the portfolio in 2020, 2021. What that does by adjusting the rents maturities at the same time, it really has no effect – no negative effect on us, and ultimately takes from 77% of the maturities happening early on pushes that out or reduces that to 30%. So that’s a combination of spreading rents and providing a rent reduction at that time.
Richard Matros: I want to to be clear, there’s no rent decreases here, if there’s no rent cuts that are really happening or being contemplated, there’s nothing like that.
Harold Andrews: Yes, all of this, Juan, is that at the end of those leases, we allow those risks to go down as they would have gone down. They didn’t reduce…
Juan Sanabria: You just kind of marketing to market based on coverage?
Harold Andrews: No, it’s based on the rents that were allocated to those assets previously. So, yes, the leases that were allowing them to exit, the excess rents we expect will be there once we get the credit, those are going to go away when they basically would have gone away anyhow.
Juan Sanabria: Okay.
Harold Andrews: No immediate rent cuts.
Juan Sanabria: Okay. And just a quick question on the – the last question on the rent coverage of the assets you’re selling versus the remaining pool. Could you just give us a sense, if any on the difference in the rent coverage on a facility level?
Richard Matros: Yes, there’s – net-net, there’s not much of a difference on day one. There are facilities that are in the package that actually perform really well. But Genesis, I think smartly is choosing to get out of the entire markets and states, which will allow them to reduce infrastructure more materially and leave them in markets that are more aligned with their operational strategy. So it’s not that every facility in the package is an underperforming facility there. There are actually some good performing facilities as well, and that’s going to help to enhance the sale process as well.
Juan Sanabria: Thank you.
Richard Matros: Yep.
Operator: We’ll go next to Chad Vanacore, Stifel Nicolaus.
Chad Vanacore: Hey, good morning.
Richard Matros: Good morning, Chad.
Chad Vanacore: I’m just trying to unpack the increased guidance. What would you say the pro rata split between the collection of Forest Park proceeds and the impact from new investments offset by any Genesis dispositions?
Richard Matros: Well, the Genesis dispositions, as we said are reflected in the guidance other than the original agreement we had, where they paid us a $20 million fee and we would reduce rents, but a lot of that doesn’t occur until 2017. So you can kind of – that’s very immaterial. If you look at the impact of Forest Park for the year and then our guidance, as we talked about, it’s pretty significant, and with the acquisitions, we’re – I think completing happening towards the second-half of the year. The vast majority of the guidance is the Forest Park stuff, as far as the increase that we’re showing, but there’s still a few pennies related to the acquisitions as well. But the Forest Park is clearly a big chunk of it.
Chad Vanacore: Okay. And then just thinking about in light of the challenges for Genesis, how is the NMS portfolio performing? And then if that’s the real driver for improved skilled mix in that portfolio?
Richard Matros: Yes, it’s the big driver for improved skilled mix, but part of that is the acquisition of Vision that was originally pushing our skilled mix up, because Vision is – has no Medicaid business at all. So it’s all – it’s a 100% skilled mix. So NMS performance is holding up, they’re doing great. They’re just great operators, it’s holding up really well. And I’d make a couple of comments about Genesis. When I say this completely from an operator’s point of view, I’d say, I’m not speaking for them, this is just my sort of perspective on the whole thing. Obviously, they’ve got a really large company, and when you look at the small – our smaller sophisticated operators, they can kind of move on a dime. So if things unfold, they can get involved and it’s easier to put new clinical products in place. There – it’s easier to bring in IT investments, because they’re small. Genesis is a battleship. And I think that the conscious decision that they’ve made to aggressively get involved in the BPCI program and a number of the other initiatives they’ve got is really the right thing for them to do and despite any sort of short-term pressures in doing that from an operating perspective by the time all this rolls out over the next several years, they’re going to be ready. And if they were to wait and be less aggressive, and therefore, maybe have less and less short-term pressures, they’ll be in a much worst position several years out. So I think what they’re doing operationally in the strategic perspective and then you add all these other initiatives that they – that we’ve talked about and I’ll be talking a lot more of that, because it will on the Sabra portfolio and I think well positions as well. So and I admire the fact that they’re doing it the way they’re doing it.
Chad Vanacore: All right, thanks for the extra color.
Richard Matros: Yes.
Operator: We’ll go next to Smedes Rose, Citi.
Smedes Rose: Hi, thank you. I wanted to ask you mentioned a large disconnect between the public markets and private markets when it comes to the skilled nursing facilities and I was just wondering what do you think of some of the largest differences in perception of how the market is changing or why is the private market seeing so much more value on a relative basis?
Richard Matros: Yes, so I think the private markets, these are guys have always been involved with skilled nursing industry. I think they understand the underlying business. We do respect generally in the general market does and certainly real estate investors do the obvious reasons. And for them to – they have facilities in the right market and their point of view is the same really as our point of view and that is in an environment, where you’re going to have bundling for the first time in the history of the skilled sector or the post-acute sector, I should say not the skilled sector. The entire post-acute sector, there is going to be a level of playing field. So, no longer that our SNF going to be disadvantaged on higher acuity patients because IRS tax get paid more money. It’s one of the reasons that reimbursement hasn’t been there, over SNF take reputations for the month of March. It’s not a clinical issue. It’s a reimbursement. And these private buyers, many of whom are strategic, not always financial buyers as well understand how well-positioned SNFs are, because at the lowest cost providers. So basic five facilities that have been underperforming and are in good markets and they can bring the right operator in, there is a huge upside to them in those facilities. And so that’s why I think there is a good connect now and this isn’t new for the private market. But private market has been remarkably consistent and how it’s approach SNF assets over the many years that outside the operating side of the business. The public markets two years ago, SNFs really frankly no discernible reason were sort of the darlings then that was extreme in that regards and I think the negative reaction now is extreme as well. So I think the public markets react to headlines and complexity and uncertainty, and the private market reacts to the facts on the ground that are different than with the public market is.
Smedes Rose: Okay, understand. That’s helpful. I wanted to ask you to you mentioned. So as you point out in your senior housing, on a same-store basis sequential coverage ticks-up a little bit. But when does the independent living acquisition, when do those start getting layered into your same-store numbers and then – would we then expect to coverage than just start to ratcheting down.
Richard Matros: Harold?
Harold Andrews: Yes, I think they’ll start coming into next quarter into our same-store numbers, because a lot of that was as Rick said, those investments we made last year.
Smedes Rose: And so that will start pulling down your same-store coverage?
Richard Matros: Correct.
Harold Andrews: Right.
Smedes Rose: Okay, all right. Thank you.
Richard Matros: We’re underwriting AL memory care minimally went to not a little bit higher or underwriting IL at 11, which is consistent with how everybody underwrites obviously on these assets. That’s the issue.
Smedes Rose: Okay, thank you.
Operator: [Operator Instructions] We’ll go next to Todd Stender, Wells Fargo.
Todd Stender: Hi, thanks.
Richard Matros: Hi, Todd.
Todd Stender: Within the memorandum with Genesis, how was this 7.5% rate arrived at? And if what if you do better than that rate on the asset sale? Does that impact Genesis rent going forward?
Harold Andrews: So just to be clear, the 7.5% was arrived at first of all because what we – as we look at it, we said, we don’t want to take long-term dilution on this transaction. So what we want to think about is as we reinvest those dollars in the future, we want to make sure we can replace that revenue stream. We’ll tend to be investing in lower cap rates, private pay senior housing. So that’s how we arrived itself at 7.5%. If you look at the acquisitions, we just completed there and kind of that range of 7.5%. So we want to make sure we could fully replace the revenue, so we didn’t take long-term dilution. And the question you’re asking, I don’t really think applies in this situation because it’s just the function of proceeds we get. So if we get $200 million of proceeds will give them a rent credit of $15 million. It does not impact, but the rents that are allocated to those buildings today are irrelevant. We evaluated this on an overall rent basis is not looking at each individual asset and trying to figure out. Can we replace that rents? We’re looking at just replacing the rent at 7.5% on an overall basis. So I don’t know that answers your first part of your question, but…
Todd Stender: Yes, sure it does. Thank you, Harold. And then post-sale, do you know what the rend covers looks like, I guess on a remaining assets to get the number you gives in the 40 asset range, I want to say? What is the rent coverage look like I guess on a facility level basis?
Richard Matros: Yes, so the rent – to the earlier comment, the rent – these facilities that are sell over some period of time, because even though someone wants to buy the whole thing it’s unlikely that’s going to happen. But say for example, if it all sold on Monday, on that day the rent coverage really wouldn’t change. On the whole idea here is that it will improve over time, simply because they’re going to be sharing so many underperforming assets that it’s taking a disproportionate amount of their time and they can be able to focus on the markets in the assets that are better suited to their strategy and have a lot more upside. And that happens to all operators over time. We all spend a disproportionate amount of time of the lowest performing asset. So everything wouldn’t sell one day, there will be no change in coverage, but we would expect coverage to improve over time and they have more nimble company if you will.
Todd Stender: Got it. Thank you, Rick. And then just last lastly here, can we hear a little bit more color on the skilled nursing facility required in Silver Spring, Maryland? Just seems like a – big price tag for only 93 beds, just want to hear a little bit more about that?
Richard Matros: Yes, so that’s another internet facility. So that’s a facility that we looked at when we bought the four last year, they didn’t just acquire that and it was an underperforming facility they acquired within nine months. They had at a 30% margins. And so the way to think about it is really to look at it in the context of the four facilities that we acquired last year. It’s a hard. I mean I don’t really pay much attention per bed on skilled nursing because it sell market specific on individuals this facility specific. But it is a high number of out per day basis. But these are facilities that really reflect what the whole sector will be somewhere down the line. When you look at this business, and then they have two operating models in their facilities, it basically we’re operating in IRF and in LTAC under its skilled nursing license. They can do that because in the state of Maryland, Maryland is one of the states that provide the specialized Medicaid rate for their patients that is equivalent of Medicare. So for most skilled nursing provider isn’t back up, reimbursement rates and Medicare, if you will – if you are going to bed patient, who isn’t readable after 100 days, you’re stuck with that patient at called $200 Medicaid rate instead of the $700 Medicare rate, and you’re getting killed. And then was my earlier comment with bundling where people follow the money. It’s not a clinical issue. It’s not an inability on the product skilled nursing. Take care of certainly sort of patients, but until the reimbursement is there and allow them to do it. They’re not going to invest in the infrastructure that’s required. S0 in the cases and that’s if you look at their revenue, it isn’t just field mix, which for end of that because of the Medicaid generated rate, the Medicaid revenue is as potent as their Medicaid revenue. And the reason to states to incentive item to do this and a number of states that Maryland is that the only state we have two skilled nursing facilities and Pennsylvania that do the exact same thing. They do everything with LTAC does under SNF license. It’s because LTACs are only in a handful of states. So in most states these are patients that are staying in hospitals, for a long period of time and cost and also lot of money obviously and so the state creates incentives for them to be discharged, so just having to be better taking care of in this case.
Todd Stender: No, I’ll take it. Great.
Richard Matros: Okay.
Todd Stender: Thank you.
Richard Matros: Yes.
Operator: We’ll go next to Juan Sanabria, Bank of America.
Juan Sanabria: Hey, guys I just wanted to follow-up on the rent adjustment, I wasn’t quite clear if, for Genesis if basically you’re not cutting rents today, but agreeing to cut them in the future, I just wasn’t quite clear on the explanation, apologies for not understanding?
Richard Matros: Sure, I’ll try to make as clear as I can. As you said there’s no rent cuts today, but the leases – the assets that are being sold. Have rents associated with those it would have gone away in 2020, 2021. So, we get out to those dates we’re basically providing them with a rent adjustment rent reduction at that time, okay they would equal whatever it would have been had they walked away from those particular leases, which presumably they would have done since they’re exiting them today. However, we’ve also extended leases and change maturities such that it really has no impact on our rent. It’s actually the improvement on our rent going forward, because we’re pushing maturity dates of other leases further out. So net-net it’s a positive, but it’s part of the big picture around restructuring and maturities. And I think that the benefit that I think we do get out of it as well is you will get even better rent coverage at that time where previously they would have likely just walked away from those assets and our rent coverage wouldn’t have improved, now it will improve at that day.
Harold Andrews: And to say maybe a little bit differently. So for those facilities that we anticipate keeping, there is no rent cuts for those facilities. Either now or then zero.
Juan Sanabria: But those remaining facilities will get a rent cut equivalent to what the rent is for the ones you’re selling?
Harold Andrews: The overall portfolio will – haven’t, let’s put it this way. Rents will mature associated with those old leases as if they would have just gone away at that date.
Richard Matros: If you have 10 facilities and you’re going to keep seven facilities and you know three years from now the other three facilities, the leases are up and your operative is going to walk away that rent will go away.
Juan Sanabria: Yes.
Richard Matros: Right. For those three facilities the seven facilities that are being retained there’s no rent cut there.
Juan Sanabria: And what’s the rent associated with the facilities you’re selling then so we know what, when it will go down in 2020, 2021?
Richard Matros: But we, still a lot of it depends on exactly how much credit we get. So we don’t know right at this time. But suffice it to say I think the right way to look at it is before we had 77% of our rents tied to 2020 and 2021 going away. Now it’s only 30%. And all the things would go and in addition to that our rent coverage will go up at that time. So those are the two benefits that we get out of that. And there really is no cost to us and having that occur, and today there are no rent reductions at all.
Juan Sanabria: Okay, but I mean isn’t the rent of these assets are paying today that is going away in 2020. I understand that it’s being offset by an increased term in the rest of the portfolio that you’re keeping, isn’t that rent number known today. How is that dependent on the proceeds I thought that was two different pieces?
Richard Matros: I’m not sure I follow the question, say it one more time?
Juan Sanabria: You said the rent reduction or however you want to phrase it, it’s going to happen in 2020 and 2021 is based on a credit I wasn’t clear on what that meant?
Richard Matros: I’m not exactly sure, but let me let me say it this way.
Juan Sanabria: Well, do you have a dollar amount that the rent is going to go down in 2020 and 2021?
Richard Matros: The rent credit that we’re giving them today, the rent credit that they’re going to get when we sell the assets we don’t know what that rent credit is today, because the…
Juan Sanabria: Okay, but that’s based on the proceeds, but this is a different piece right this is another rent reduction?
Richard Matros: It’s not a different piece it’s not of different piece, because we know how much rent as associated with those buildings today we don’t know how much is going to go down from the sale of assets therefore we don’t know how much it might go down in 2021 when we give them the additional relief they would have gotten anyways that make sense.
Juan Sanabria: No.
Richard Matros: So late.
Juan Sanabria: Okay. So you’re getting a reduction in rents or Genesis is getting a reduction in rents based on the proceeds, or based on the 7.5, which isn’t agreed to. But is there another rent reduction in 2020 on top of that and are they tied together?
Richard Matros: Okay, so the rent reduction in 2020 is tied to the rent reduction that we’ll get immediately, so let’s just talk to give you an example if there was a $100 of rent being paid today and they’re going to get a credit of $50 based on the 7.5%, beginning in 2020 or 2021 they’ll get the other $50, but they will only get $25, it will be $75, but ultimately when you fill that in the mix of all the other rent adjustments we have, our rents are only going to go down 30% in 2020 instead of 77% in 2020. And keep in mind some of that we didn’t spend a lot of time talking about, but the part of this, the reason it’s a little confusing is first of all we view these leases kind of on an aggregate basis. We’ve reallocated rents across the portfolio rents in almost every building are changing as part of this agreement. I alluded to that that we’re reallocating rents to better reflect the performance of the assets. And so looking of this building or that building is kind of hard to, hard for us to even think about. We look at it on an aggregate basis, but the rents as of yesterday are completely different from what they will be tomorrow once we get all these rents reallocated over the next few weeks. So it’s a little bit.
Juan Sanabria: Is there a range you can give for that reduction in 2020 of what the dollars are?
Richard Matros: I’ll say it this way, our rents are going to go down if they walk away from leases in 2020, 2021 by 30% that’s what will happen.
Juan Sanabria: I’ll follow-up offline Thanks guys.
Richard Matros: Okay. Thanks.
Operator: We’ll go next to Michael Carroll RBC Capital Markets.
Michael Carroll: Yes thanks Rick or Harold. Can you guys talk a little bit about the differences between the asset that Sabra and Genesis are keeping versus the ones that you’re selling, I believe you touched on this earlier in the call. But is it more based on the location of those assets or the age of the assets or the size. And believe you said location. But can you expand on that a little bit?
Richard Matros: It’s Mike it’s all market oriented. There are certain markets that they don’t think fits with where they want to be strategically. And typically what most operators do when they want to, they’ll sell assets here or there and they wind up keeping underperforming assets. Because even underperforming assets can, they will cover your overhead costs for particular region. So, now they’ve done as many acquisition as they’ve done, they are taking a look at their whole map and saying, which of the markets are the most conducive for us to be in. And there are some states that they just don’t want to be in, because for example they maybe high liability states. And one of its, and so that that was taken into consideration as well. So it’s all markets and environment and strategic decisions relative to what they’re trying to do with the company. It’s got nothing to do with the age of the asset, as we said earlier some of them actually performed pretty well, but they want to get into the whole market and because they’re able to, because they’re going to be exiting entire market and or state they’re going to be able to have a much bigger impact on infrastructure reduction as well.
Michael Carroll: Okay great. And then on the 29 assets that that you kind of highlighted have you, are all those markets or assets currently on the market for sale right now or are you starting to put them on the market for sale?
Richard Matros: They will be going up for sale shortly they have not been marketed yet. [indiscernible]
Michael Carroll: Is it going to stockholder…
Richard Matros: They’re actually going to be marketed by like Genesis. But we’ll obviously be a part of that but they’re going to market those assets for sale.
Michael Carroll: Okay and then congrats on the Forest Park disposition. Can you guys talk a little bit about I know you touched on this, the personal guarantees, I mean have you put out a proposal or a settlement offer and they just have to accept or try to renegotiate that. And you just don’t know what the timing of that is, is that how we should think about that piece?
Richard Matros: You should think about this way, we’ve put out an offer very, very recently. We’ve given them some period of time to think it through. And then we’ll hear back from them and either they will accept or they won’t, and if they don’t accept it then we’ll pursue our remedies. And we think it’s a very fair offer, we spent a lot of time working through looking at the benefits that were provided by the docs. As we went to them and see all those things were factored and giving them some discounts.
Michael Carroll: Okay great. Thank you.
Richard Matros: Okay.
Operator: We’ll go to Rich Anderson, Mizuho Securities.
Richard Anderson: Okay, can you conference me into the call of Juan, because I need to understand that too. And I’m not going to spend more time, but I don’t understand. I think that’s kind of par for the course right now.
Richard Matros: I can give you a call.
Richard Anderson: Yes, okay, I appreciate that. And Harold you said, I think you said a lease termination fee in the second quarter of $5 million related to Genesis, did you say that or did you say that for the year. I wasn’t clear what that number was?
Harold Andrews: Well the lease termination fee we recorded for the year – during the quarter was about $2.1 million.
Richard Anderson: Right. Yes, I see that.
Richard Matros: But it doesn’t mention the payments they’ve made about $10 million of the payments to-date out of $20 million, but GAAP required us to record that over a period of time. So it’s really $2.1 million recorded during the quarter, even though we’ve got $10 million in cash so far.
Richard Anderson: All right. So there will be more than the rest of the year then if you’re looking at?
Richard Matros: Right. Hopefully through probably the first quarter of next year, we’ll record the full $20 million.
Richard Anderson: Okay, okay 1Q 2017, all right. So when I think about this fixed well, I’ll call lease yield, the 7.5%, it reminds me of what HDP did when they were selling the HCR ManorCare assets last year. And so for there not to be a reduction in rent coverage, you have to sell these assets, you and Genesis have to sell these assets at a cap rate. So property level cap rate below that 7.5% right, is that correct? If you sell above that then your coverage would actually mathematically go down. Am I thinking about that correctly?
Richard Matros: Sorry, I didn’t mean to stump you. So let’s – so like [Multiple Speakers] well, I don’t – I think I’m right. So let me just do it this way. EBITDAR divided by rent is your rent coverage right? Let’s say, EBITDAR and so for – you want the numerator to go down less than the denominator for coverage to go up right? So that means EBITDAR has to be a 5% reduction just use a number and rent is going to go down 7.5% thereby getting an increased rent coverage. So to me to say that there won’t be any impact on coverage requires that the assets be sold at a property level quote unquote cap rate below the 7.5% lease rate. Does that make sense? So maybe another thing offline, but I just I feel like this.
Harold Andrews: [Multiple Speakers] that offline, we can explore some more. So I think the way I think about it is, there’s a mixed bag of coverages to those assets that we’re selling at. Some coverages are strong, some coverages aren’t strong. If we’re selling assets that had negative EBITDAR, we’re getting rate of all negative EBITDAR number, that’s going to improve the coverage.
Richard Matros: Absolutely, 100% I agree with that.
Harold Andrews: Okay. We’re getting rid of a high-performing asset and we only get 7.5%. Do we might have a lower coverage. And so it’s a mix of all that. And ultimately, when you look at all, it’s kind of basically a little flat, it’s pretty flat as Rick said.
Richard Matros: Right.
Richard Anderson: Okay. So it may average to 7.5%. But you’re going to have some that are good and some that are bad. It’s going to depend on what the market is willing to pay for that that EBITDA right? I mean, that’s what it comes down.
Richard Matros: Yes, just in average, we look at every one of the facilities in that bucket. And we assume should be the traditional and existing cap rates that currently being paid for skilled nursing facility. So we’re not making any sort of aggressive assumptions and not at all we’re looking at what’s happening on the market currently. We’re looking at the skilled nursing facility that we’ve been selling over the past couple of years, and the beginning to go. So we’re taking sort of an average ton of cap rate. It’s really the number of facilities in the portfolio that underperforms that caused the entire portfolio to come out basically to review that.
Richard Anderson: Okay. So I also wanted to explore the question of why do you have any Forest Park interest income in any guidance number if it’s done with?
Harold Andrews: Because what we’re providing is guidance for the full-year of 2016, not just the balance of the future, it’s the full-year. So what’s our full-year look like.
Richard Anderson: Yes, I know, but it just seems like it’s one-time and back out of all, but that’s semantics, I guess. And then the last question, you get to 24% Genesis after this is all said and done. Is that, Rick, you – is that the right number, or do you see that kind of meaningfully lower in the next few years whether you’re selling more Genesis or buying other assets?
Richard Matros: We say it is meaningful – meaningfully lower. I mean what it does for us, so there was never sort of, we want to get them as lower as we can get a period, which isn’t a reflection on Genesis. But you see how the market reacts to our stockholders tactics shift, it’s enough, it’s an uncontrollable for us, and it doesn’t matter whether I think the market, particularly when it comes to real thing that just understands this or not, it still is affecting us. So we’re going to get that number as low as possible, because this is a lighter year for us from an acquisition perspective. This basically accelerates where we were going to be anyway. And this always the 24% all of these earning and that’s where a lot of proceeds we get from the sales. We’re going to continue to grow this company as we have been growing it. And so over the course of that or the time it takes to sell these assets in all likelihood, the number may be lower than 24%, because we’re going to reinvest the 200, we’re getting from these assets plus we’re going to be buying and we’re also buying. So there isn’t going to – there isn’t any sort of level where okay, we get down to 20%, that’s good enough. I will do other things with Genesis and we’ll just sort of keep at that level. We don’t like being in a position, where subject and our shareholders get affected by things that are out of our control for whatever the reasons maybe perception wise and the loss whatever it happens to be.
Richard Anderson: Okay. And then final question for me, just it could be one word answer. Is cardiac bundling worst or less worse than CJR to the skilled nursing business?
Harold Andrews: Okay. I’ll give you more than a one-word answer, because...
Richard Anderson: Wow.
Harold Andrews: I had a discussion on it, and I disagree with the promise. First of all, IRS are really initiatives 1,200 or so IRS is 15,000 from these. Many other states that IRS just been, there’s only one IRS in a state. So in most markets, IRS are actually not an alternative, this for closer to cardio patients.
Richard Anderson: Okay.
Richard Matros: Secondly, if you look at where IRS are, they tend to be closer to as you would expect in urban markets, where the sniff providers are most expert at doing high acuity, because those markets are much different than world secondary, tertiary kind of markets. And remember that much of the sniff business is still kind of mom and pop. I mean. it’s not the most sophisticated providers. And in those markets that are more rural, it’s going to take longer for all these changes to happen anyway. So and I also look to make cap reports that I talk about how great the outcomes out of sniff and how comparable they are to IRS. So I just don’t think you can do that in broad strokes. It’s very market specific, I think, it’s I think it’s informative to look at a map of the U.S. and look where all the sniffs are and look where all the IRS are, and that will help, I think, you start to draw in different conclusions. The other point I make is that, as you get – as bundling expand, and these bundle programs expand, I’d like say the comment that I did earlier. Operators always follow the money, always have, always will. As this – as the reimbursement becomes accessible to them, they will invest in the clinical infrastructure that was – that’s required for them to do it. And if you look at where the sector is today versus 10 years ago, it’s already dramatically different. I mean, so much of the sector has moved away from traditional long-term care towards to post acute, post surgical acute care patients that are high acuity and long-term complex medical patients. So I disagree with the thesis.
Richard Anderson: Okay. Well, let’s turn off. Harold, I look forward to hearing from you like I said you can help me with one.
Harold Andrews: [Multiple Speakers]
Richard Anderson: Okay, great. Thanks.
Operator: We’ll go next to Omotayo Okusanya, Jefferies.
Omotayo Okusanya: Hi, most of my questions have been answered, but just a couple of quick ones. First of all, I just wanted to make sure that the rent coverage and the Genesis coverage statistics we’re looking at this quarter are apples-to-apples versus last quarter. None of the 29 assets been sold or been excluded from that number or anything on that sort?
Harold Andrews: Apples-to-apples.
Omotayo Okusanya: With apples-to-apples, perfect, okay. Then the second question is a broader one for you, Rick. I mean, today, we’ve just had a lot of conversations around bundling around Medicare Advantage, a whole bunch of different things going on now. How Genesis was trying to react to these things? How you’re trying to help support their initiatives? But when you do think on a longer-term basis of all these changes happening over the next, whether it’s three years, five years, what have you, how exactly do you think that ultimately ends up impacting skilled nursing real estate? And how does Sabra end up preparing for that? I mean is the idea that you pivot more towards in your housing, is it like what is at ultimately when you kind of think about what you need to do, just kind of given all the uncertainty around skilled nursing over the next few years?
Richard Matros: So couple of things, one, we’re always going to be focused on increasing our senior housing and has the company gets larger and cost of capital improves, we may consider other asset classes as well. But in terms of SNFs, we like the full asset class. It’s really a function of are you aligned with operators that understands what they have to do strategically to shift their business model to be inline with the changes. At the general principle, the sector is very well-positioned and that’s not to say there won’t be some lose, then I think the losers in this case are going to be a traditional mom-and-pop, who have always run Medicaid businesses and various cost focus, they do traditional long-term care. Some of them may provide a much longer period of time if they are in secondary to tertiary markets, but certainly in the urban markets, they’re just not going to make it. And that there will be acquisition opportunities and as a result – and we’ve prudent our core – non-Genesis portfolio outside to shut ourselves at those assets that we don’t think can get that and we focused our acquisition strategy at the pretending skilled nursing on those provider that completely get it and I think you see the results in our SNFs tax as a result when you look at rent coverage or you look at skilled mix. And as deep in operating bench as we have here, I think we’re very well positioned to differentiate between those operators that get it and those that don’t get it. So overall, I think the SNF sector is doing fine. So we will continue to accentuate other asset class, as we’ve been doing, but we’re not afraid to do SNF acquisitions and that makes sense. I’d also point out the couple of things. There is a lot of focus on how much benefit and how much that takes away from skilled nursing, I completely free that home health is going to benefit – home health companies as well. So it gets exaggerated because a good SNF provider shouldn’t be accepting patients that can be taken care of his home, home care by definition is intermittent. I’m sure there is seven percentage of patients that can overlap and they can get by home or get by the skilled nursing ability, but the hospitals have really careful about where they discharging people to, because if they windup with re-hospitalization that shouldn’t be happening, then they have a problem on their hands as well. You’ve also got a dwindling supply base on the skilled nursing side. You’ve got one third of the skilled nursing supply that it’s has gone away over the 15 years. That’s going to continue to drop while the Medicare beneficiary number, I think well being is pretty dramatically even over the next number of years. So, and if you look at – I would encourage everybody to read reports by Avalere they probably did the best job in the business, on accessing all these changes that we think look like going forward, but those volume increase and they’re going to help dramatically to offset some of the loss into component. But I don’t – I’m not concerned about the continuing with other providers like LTACs and IRF. I think many providers just did a job. And again what’s reimbursement there for them and they will be there clinically.
Omotayo Okusanya: So that’s actually very helpful color. I mean just kind or give me your viewpoint, this will be expecting worldwide, you may do things you’re dealing with Genesis to actually start seeing you do able with some other operators as well?
Richard Matros: Well, yes, because the other operators are all pretty small, right. They’ve got two builds or five building and we haven’t had them to that one. So we have – which has been too small for anybody has done. But we sold facilities here and there over the past couple of years and sold SNFs in Texas and we’re looking at Oklahoma. We sold SNFs in Connecticut, and so we sold some SNFs here and there, where we just don’t think if there’s the right combination of factors in there to serve us well going forward and with the private market being so good – as we just gain profit and take new advantage of that. So all the – so if you look at the NMS or SNF, operators are now. We thought really great providers during really interesting things and extremely high acuity. We’ve got the guys in Pennsylvania that everything with LTAC does. We’ve talked about NMS. We’ve got vision in Oklahoma that there is no Medicaid business, which 100% skilled nursing to all short saying high acuity. We’ve got KVM, which is the first big deal we did that in 2011 is that the largest venue in the state of Delaware. So we feel really good about, the guys that we currently have as our partners with SNF side and that we’re looking to partner going forward. Now that said, if you own a whole lot of those guys out there, as reimbursement continues to evolve and people do start borrowing the money, building more of those operators here is today and certainly three or four years with a lot more those operators that have developed the expertise, which have been pretty particular right now.
Omotayo Okusanya: All right, that’s helpful. Thank you very much.
Richard Matros: Yes.
Operator: We’ll go next to Paul Morgan, Canaccord.
Paul Morgan: Hi, good morning. Just way back into the Genesis a little bit more. You said $200 million to $250 million was the – was that gross proceeds or net proceeds?
Harold Andrews: As we have net proceeds, but there is not a lot of difference between net and gross, I mean this closing cost, those kinds of things.
Paul Morgan: Yes, okay. So pretty much the same, so just to see if I might understand this, is the reduction in 2020 due to the difference between your $7.5 million and what will actually sell it for and it’s like a catch up for that number. So if they were to sell it at to say $9.5 million then there will be like a 200 basis points additional cut to reflect that?
Harold Andrews: The catch up is the difference between the $7.5 million and what those leases had as of today. So we’re only getting if the rent credit is left and they’re paining in rent, almost the stories today that difference goes away. We’re gone away anyway in 2020, 2021, that’s the difference.
Paul Morgan: Okay, and then is there also – okay and so there is no type of an additional catch up for the period between 2016 and 2020 the year sort differing until 2020?
Harold Andrews: No.
Paul Morgan: Okay, and is there a straight line impact of all of that?
Harold Andrews: I think the accounting will accounting will be – we just reach straight line. There is no right of a straight line rents, just will adjust straight lines rents going forward based on all the changes that we’re making.
Paul Morgan: Okay.
Richard Matros: Part of the way to think about this is all is Genesis what’s streamline their company. So lot of this is about why rate are until these leases is just start naturally expiring, let’s get a head of that and such streamline in the company now is going to waiting until 2020. And so we will to do cooperatively with them is to do certain things that were benefit us including once we had agreement on those assets that we all wanted to stay in together that they wouldn’t expire much more ratably, then they were originally or we’re going to portfolio in first year.
Paul Morgan: Right.
Harold Andrews: Yes, again it’s all potentially losing. They may have extended those leases. They may not have, now we have certainty that will go on to a longer period of time, with those assets we want to keep.
Paul Morgan: Yes, okay. And then I’m sorry if I missed this earlier, but what’s the $2.4 million in the other income line, what is that?
Harold Andrews: That’s primarily $2.1 million fee that we recognize relative to the older agreement, which has to sell the aid assets. The $10 million payment they made that’s the vast majority of it.
Richard Matros: $2.1 million.
Paul Morgan: Okay, all right. Great, that’s it for me. Thanks.
Harold Andrews: Yep.
Operator: And we’ll have a follow-up from Smedes Rose, Citi.
Michael Bilerman: Hey, it’s Michael Bilerman. Just two quick follow-ups, there’s a lot been going away in 2021. If it just simply that Genesis would have walk away from these leases at that point and you would have to remarket depend to others investors, other operate?
Richard Matros: I think that – this is Rick. I think well said was that they were going to go – they were going to leave these leases anyhow. We let them accelerate that, but we didn’t let out the full rent until they would have walk until the end of those leases anyhow.
Michael Bilerman: Right. And in exchange for that – in exchange for that, you made other adjustments in other places, but the effect of – you had the majority of these leases maturing or certainly was 77% of the lease is maturing in 2020, 2021 by facing that and staggering that a little bit, that was sort of the give back that they had to you for the flexibility in doing it?
Harold Andrews: That’s correct.
Richard Matros: Yes, and the other just comment I would make Michael is that, we look at these assets. We asked ourselves, do we want to release these to other operators now, same question we would have asked ourselves in 2020, but we asked ourselves that question now. And we didn’t see good enough reason for us to do that and looking everyone what you would have thought definitely in 2020. So you do what you do, but we did make that conscious decision now in the context of the agreement that we prefer to just exit everything with Genesis as opposed to staying some of these assets with other operators.
Michael Bilerman: And then do you have a sense of like how much of a 50 basis point move one way or the others, if you were to – if the assets were being and they cap versus – I think cap versus 7.5% credit. How much that differential means to result in coverage of the remaining pool of assets that you have?
Harold Andrews: It’s not that significant. We’ve done a sensitivity analysis around it. And you can go up or down 1% or 2% from our estimates, and it’s just not that significant.
Richard Matros: It’s not that big a number billing in the context of what we do.
Michael Bilerman: Right. And then, Rick, you made a comment in terms of operators spending a disproportionate amount of time with their most difficult assets. And I’m curious if you think introspectively to your own company the amount of time that you’ve had to spend on Forest Park and Genesis. I guess, where have you lost time? What have you not been able to deal with when you’ve had so much time to deal with these issues? And how is that going to change, I think going forward about maybe the types of investment strategy and the diversity and things like that in terms of what you’re willing to do. I know, sometimes you don’t. You don’t know it’s going to become a problem until after the fact, but I’m just curious how this whole episode has gone in terms of your own time?
Richard Matros: So, this – I may have touched on this on past calls, Michael. The Vision is a real disconnect here. We have not been distracted by any of these things to the point where it affected us anyway. Last year which was when most of the time was spent on resolving Forest Park, we did $550 million of investments. On a deal basis that wasn’t as big of the year because of the holiday deal. But it was more deals than we’ve ever done at the same time, we would deal with Forest Park. We hired really good attorneys to deal with this for us. You have a call with them once a week. I have a board member who runs the restructuring practice through cap. And I’ve got pretty deep experience on restructurings myself. It just wasn’t that much of a distraction and neither is Genesis, we had a couple – we had a series of discussions with Genesis to come to a deal, but growth is going to be higher than the other marketing assets. We have a lot of capacity here. The deal attributed this year is a function of the acquisition market. And our discipline relative to what we will pay from a pricing perspective has gotten nothing to do with anything else. And we – and in terms of Forest Park, we just have sort of comments and we said on past calls, even though, obviously no one bought it, we were always completely comfortable and we are on the record for the past year on us. We are really completely comfortable that the two debt investments were really well collaterlized, well underwritten, and we had a problem with an operator, every regions had problems with operators, don’t mean to make light of it, but it’s a fact. And so we had one asset that was really an issue. The other two assets would never an issue for us. And for months I was on the record and saying that we will then come out whole that is and whole and we combined, well before the Dalla forward sales, I’m on the record for that. So it’s just – it hasn’t been – it’s been a diversion for everybody else. So, last year, all we ever talked about on every earnings call was Forest Park when on everyone of our earnings releases, we showed improved skilled mix on the same portfolio. We showed improved coverage. We have good quarters every year, but that was a diversion nearly for everybody else and everybody else focused on it. And so fortunately or unfortunately, it was great that’s all we are going to talk about for a while. So I get that, I mean, I get all of it. But it’s been more of a a diversion for everybody else. I see notes where there’s this sort of cause and effect, okay. Now that Forest Park and Genesis deal has announced, we see acquisitions volume picking up slightly and refocus on doing acquisitions.
Michael Bilerman: All right.
Richard Matros: It’s just not the case. We have a lot of capacity in ourselves here. And it’s – just was really – wasn’t fine.
Michael Bilerman: Thanks for the color.
Richard Matros: Okay.
Operator: At this time I’ll turn the conference back to Mr. Rick Matros for any additional or closing remarks.
Richard Matros: Thank you. Thanks for joining us today. So anybody that still wants more time to get their arms wrapped around the Genesis deal, Harold is happy to spend time review on that and happy to spend time on the models as well, because I think you start actually modeling it everything will become a little bit clearer. I know Harold and Michael would be happy to spend time on that as well and I’m available. So I look forward to seeing you guys while we are out on the road and talking to you. Thanks very much. Have a great day.
Operator: That does conclude today’s conference. Thank you for your participation. You may now disconnect.